Operator: Good day. And welcome to Aptiv Second Quarter 2020 Earnings Conference Call. My name is Shelby, and I’ll be your conference operator today. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. Thank you. Elena Rosman, Aptiv’s Vice President of Investor Relations, you may begin your conference.
Elena Rosman: Thank you, Shelby. Good morning. And thank you to everyone for joining Aptiv’s second quarter 2020 earnings conference call. To follow along with today’s presentation, our slides can be found at ir.aptiv.com. Today’s review of our actual financials excludes restructuring and other special items and will address the continuing operations of Aptiv. The reconciliation between GAAP and non-GAAP measures for our Q2 financials are included in the back of today’s presentation and the earnings press release. Please see slide two, for a disclosure on forward-looking statements, which reflect Aptiv’s current view of future financial performance, which may be materially different from our actual performance for reasons that we cite in our Form 10-K and other SEC filings, including uncertainties posed by the COVID-19 pandemic and the difficulty in predicting its future course and impact on the global economy. Joining us today will be Kevin Clark, Aptiv’s President and CEO; and Joe Massaro, Senior Vice President and CFO. Kevin will provide a strategic update on the business and then Joe will cover the financials results in more detail. With that, I would like to turn the call over to Kevin Clark.
Kevin Clark: Thank you, Elena. Good morning, everyone. Beginning on slide three, I’d like to spend a minute providing an update on how Aptiv is responding and contributing to the fight against COVID-19. We’ve concentrated our efforts on ensuring the health and safety of our people, the communities where they live and where we operate, as well as the safe and efficient restart of our operations, so that we can flawlessly serve our customers around the world, and at the same time, we’ve taken incremental actions to preserve our financial strength and enhance our competitive position as we emerge from this crisis. We’re proud to be one of the global giving partners that are supporting hospitals and clinics treating COVID patients around the world, and our Aptiv team members have gone the extra mile, delivering urgent health care supplies and volunteering their time and personal resources to help stop the spread of the coronavirus in their local communities. Our Safe Start protocols, the additional safety measures that we put in place at the very start of the pandemic and have been shared with customers, suppliers and government agencies across the globe have allowed for the safe and successful restart of each of our facilities worldwide, allowing us to effectively ramp-up operations. I’m proud of how well we performed in these challenging times, and I’m grateful for our team’s passion and sense of urgency, ensuring our efforts are making a real difference. Moving to slide four, as expected, the second quarter proved to be challenging with COVID-related shutdowns driving unprecedented declines in vehicle production in both North America and Europe. Despite the depth of declines in April and the slow phasing of restart operations beginning in May, a rebound of vehicle production in China, combined with solid operating execution, contributed to better-than-expected financial results. Global vehicle production declined 54%, while our revenues declined 43% to almost $2 billion, 11 points favorable to the underlying vehicle production market. EBITDA and operating income losses totaled $49 million and $229 million, respectively, and earnings per share was a loss of $1.10. Looking at each geographic region, the economy in China continued to improve, resulting in better-than-expected bounce back in vehicle production, which was up 6%. Vehicle production declined 68% in North America and 62% in Europe, reflecting the complete shutdown in both regions during the month of April and the slow restart of operations beginning in May. While retail demand in North America and Europe has improved, production schedules remained somewhat volatile, primarily the result of periodic supply chain disruptions, principally in Mexico due to COVID-19. And visibility into the pace of recovery in the second half of the year remains low, which is reflected in our outlook for vehicle production to be down 10% to 15% versus the same period of prior year. The deliberate actions we’ve taken to strengthen our business model over the last few years, including portfolio changes and cost structure initiatives have positioned us to respond and adapt in this much more challenging environment. Turning to slide five. Despite the challenging macro environment, the proactive steps, we’ve taken to protect our employees, to deliver for our customers and enhance our financial strength have put us in a strong position to continue executing our strategy. As it stands today, we’re fully operational with each of our 126 major manufacturing sites up and running, all employing our standardized safety protocols allowing us to operate across our global network at roughly 85% of our normalized capacity and even higher at some of our manufacturing locations. As our facilities prepare to restart operations, we have the resources in place to safely ramp up production once we receive the necessary government approvals in alignment with customer production schedules, which were, as I mentioned, very volatile during the quarter. I’m happy to say that as a result of the strong coordination and collaboration with our supply chain partners, we had zero customer disruptions during our restart of operations. With the learning’s from the successful restart of production, we’ve gained meaningful experience in operating safely with COVID-19 which is critical. We believe that the residual impacts will remain with us for some time, resulting in lower production volumes and continued operational inefficiencies. And as such, we’re not expecting a rapid recovery and continue to be cautious as we plan for 2021. However, the demand for our industry-leading portfolio of advanced technology solutions align to the safe, green and connected mega trends remains as strong as ever, as evidenced by the increase in program launch volumes year-to-date. And as a result, we continue to make the necessary investment to support the strong pipeline of new business pursuits and new program launches in 2020 and beyond. Since the COVID-19 outbreak earlier this year, our teams have been working collaboratively, focusing on the health and well-being of our employees and then identifying unique value-added solutions for our customers. To do so, we have leveraged technology to do more with digital tools. By upgrading our data center hardware and network connectivity, we are able to significantly enhance the scale and the quality of our employee conferencing and collaboration capabilities, keeping our workforce connected and operating more efficiently, allowing for the uninterrupted execution of our strategic imperatives. In summary, we continue to build on our strong track record of execution and innovation and remain focused on delivering for our customers and at the same time, making Aptiv even more resilient. Turning to slide six. New business bookings totaled $5.9 billion year-to-date, reflecting the impact of challenges related to operating with COVID-19 over the last six months. As the situation stabilizes, we expect a more normalized run rate of new business awards to occur during the second half of this year. Our Advanced Safety & User experience segment booked approximately 1 billion in the first half of the year, as a handful of customer awards have been pushed to the second half of the year. And our Signal & Power solutions segment had new business bookings totaling roughly 5 billion year-to-date, including 700 million of high-voltage electrification awards driven by the rapidly increasing demand for electrified vehicle platforms, the result of more stringent CO2 regulations and increasing consumer demand. So in summary, our new business bookings over the last several years reinforces our ability to sustain strong above market growth well into the future, underscoring the strength of our portfolio of market relevant technologies, aligned to the safe, green and connected megatrends. Turning to slide seven, our competitive mode is expanding just as the total addressable market in both our core automotive and new and adjacent markets continues to grow. Our core markets are expected to increase over 50% the next five years, reaching 120 billion, with the most significant portion of that growth coming from Aptiv’s safety and high-voltage electrification, two markets where we have a very strong competitive position. In addition, our traditional strengths in areas such as central compute, engineered components, and vehicle architecture enable us to unlock incremental opportunities in adjacent markets, and our capabilities in software development and data analytics position us well for opportunities in new markets, including connected services and autonomous driving, which bring new business models with recurring higher-margin revenue streams. The opportunities in our core new and adjacent markets position us for more profitable and sustainable growth in 2025 and well beyond. Turning to slide eight, our strong track record of new business bookings and revenue growth over market are proof points that our portfolio strategy is well-aligned to the areas of growth within our industry. As a result, we continue to fully fund investments in several strategic growth initiatives, including advanced ADAS systems, high-voltage electrification and vehicle connectivity. All markets that are poised for continued robust growth in the years ahead. Highlighting a few examples, in Advanced Safety & User experience, our unique approach to compute centralization and satellite sensors has been a game changer for the industry, with five OEMs launching our first in industry scalable ADAS platform over the next 18 months. We secured 8 billion of lifetime bookings on the satellite architecture platform to date, which will be deployed across 10 million vehicles over the next five years. More importantly, our Gen 2 platform will increase our lead with the deployment of next-generation perception systems, the extensive use of AI and a higher level of software abstraction that will deliver even more consumer value, while enabling new business models for Aptiv. In our Signal & Power Solutions segment, we’re leveraging our industry-leading position in vehicle architecture to become the partner of choice for both our traditional OEM and emerging customers planning to launch electrified platforms. By incorporating our portfolio of high-voltage electrification solutions, including the conductors, connectors, electrical sensors and cable management systems, we’re able to dramatically reduce the weight and physical size of the electrical distribution system by up to 40% thereby reducing costs. And lastly, our customers are looking for more intelligent, connected and integrated solutions to detect and address warranty issues faster and resolve them much more efficiently. We're currently working with one global OEM to meet its goal of connecting 100% of all new vehicles, with our connected edge hardware and software application, enabling a much higher level of customer satisfaction and significantly reduce warranty expense. Turning to slide nine, our ability to leverage our unique full stack systems capabilities is helping our customers realize their future technology roadmaps. They understand the changes in vehicle architecture are critical to delivering the feature-rich, highly automated vehicles they need in the future. As a result, our customers are converging around new architectures to deliver the higher, contented more safe, green and connected vehicles of the future, where we know how to provide value. Thanks to our unique position as the only provider of both the brain and the nervous system of the vehicle. We serve as a strong collaboration partner for increasingly complex architectures on the path to SVA, with industry-leading capabilities in power data, compute, perception systems, software and sensor fusion. Our customers recognize Aptiv as a technology partner capable of both the design and manufacturing of advanced hardware, fully integrated into the most complex vehicle systems, which combined with our differentiated and modularized software capabilities creates value for our customers at every level of the stack, accelerating their development of the safe, green and connected features consumers want with the proven automotive-grade systems that they can trust. Smart Vehicle Architecture is a scalable architecture solution that lowers the total cost of ownership of the OEM, while also unlocking the opportunity for Aptiv to capture more value in the vehicle. I'll wrap up on slide 10, before I hand the call over to Joe. Despite the challenges we faced in the last six months, we remain laser-focused on continuing our track record of outperformance and long-term value creation, as we execute our strategy and deliver on our vision for the company. The vision is the logical extension of our business strategy, leveraging our unique position at the intersection of the safe, green and connected megatrends that are transforming our industry, allowing us to outperform in any environment. Through the rigorous execution of our strategy, we’ve been creating more sustainable business defined by improved revenue diversification across regions, customers, vehicle platforms and end markets and accelerated and more predictable growth profile, increased profitability and cash flow, growing sales faster than costs and converting more income to cash with significant upside from disciplined capital deployment, all of which results in meaningful shareholder returns. With that, I’ll hand the call over to Joe to take us through the second quarter results in more detail.
Joe Massaro: Thanks, Kevin. And good morning, everyone. Starting with a recap of the second quarter financials on slide 11. As Kevin highlighted earlier, it was another difficulty quarter for Aptiv in the industry. At the time of our last earnings call, China was starting to come back online, and customers had shut down operations in Europe and North America, which lasted well into May. Despite the extent of the shutdown, we had strong execution across our businesses as we learn to operate safely in a COVID-19 environment. Revenues of $2 billion were down 43% as vehicle production declined 54%. Despite the sudden and severe COVID-related declines, we worked hard to achieve near breakeven levels in the second quarter. As a result, adjusted EBITDA was a loss of $49 million, better than we planned, attributed to strong cost management with austerity measures of approximately $135 million and better manufacturing performance as we restarted our operations, as well as slightly higher volumes. Adjusted earnings per share in the quarter was negative $1.10 and assumes the convertible preferred shares issued last month were treated as if they were outstanding in the weighted average share count. Lastly, operating cash flow was negative $106 million, including working capital usage of only $107 million, a testament to our team’s ability to efficiently manage working capital as production ramped up in June. Looking at second quarter revenues in more detail on slide 12, adjusted growth was down 43%, reflecting 11 points of growth over market. Despite volumes declining by $1.5 billion, we saw strong growth over market in every region. Price downs were approximately 1.5% and unfavorable foreign exchange in commodities of approximately $80 million. Our regional performance reflects the timing and pace of restart activities around the world. Starting with North America, vehicle production declined 68% in the quarter. Our operations resumed later in May, about two weeks after Europe, and we saw a favorable platform mix as OEMs prioritized higher contented vehicles as they began rebuilding inventory. In Europe, we continued the trend of strong double-digit market outgrowth, driven by continued interest in active safety and high-voltage electrification platforms. And lastly, in China, our revenues increased 14%, outpacing the market by 8 points, driven by a significant increase in new launches, which we expect to stabilize in the back half of the year. Moving to the segments on the next slide. Advanced Safety & User experience revenues declined 47% in the quarter, reflecting 7 points of growth over market without growth across all product lines. AS and UX EBITDA declined 129%, driven primarily by lower volumes. For compatibility purposes, the automated driving spend that is now part of the active Hyundai joint venture is excluded from the prior year results. As Kevin mentioned, we are seeing some COVID-19 effects and OEM launch schedules with certain launches pushed into late 2020 or early 2021. Turning to Signal & Power Solutions, revenues were down 42%, reflecting 12 points of growth over market, driven by the unfavorable impact of customer shutdowns in the quarter, partially offset by market outperformance in our high-voltage electrification, and engineered components product lines, as well as better performance in our industrial end markets, some of which continued operating as essential businesses during the shutdown. EBITDA in the segment declined approximately 100%, primarily driven by lower volumes and inefficiencies associated with the shutdown and subsequent restart. Turning to the next slide, I’ll provide some further perspective on how Aptiv's flexible operating model is allowing us to manage through the current environment. Starting with more diversified revenue growth. Our disciplined growth strategy has allowed us to shift more of our revenues to faster growing areas within automotive, such as higher contented trucks and SUVs and active safety and high-voltage electrification solutions where penetration is driving significant growth. While we continue to expand our capabilities and reach in commercial vehicles in diversified end markets, all of which has allowed us to sustain strong secular growth over market. We also remain laser-focused on optimizing our cost structure and redeploying those savings into higher return investments for growth. As previously discussed, over the last several years, we’ve worked hard to lower our overall costs, improve efficiency and lower our breakeven levels, as evidenced by our second quarter performance, which includes the additional costs associated with operating with COVID-19. We will continue to rationalize our fixed costs in light of the lower production environment as we head into 2021 and focus our productivity initiatives in areas that structurally lower our costs, improve service levels and enhance the flexibility of our business model to position the company for better through-cycle performance. Our financial framework includes reinvestment in our businesses, both organically and inorganically and further positions the portfolio for accelerated growth and margin expansion. Allowing us to deliver flawlessly for customers and enhancing our through-cycle resiliency. Our continued focus on long-term shareholder value ensures we make the appropriate trade-off between short term goals and executing our long-term strategy. As we navigate the second half of the year, we will continue to utilize our safety protocols to ensure we protect our employees and deliver for our customers. We invest in our growth businesses with high ROI CapEx investments, largely to support new customer wins and expansion of key product lines. And be disciplined acquirers by increasing scale and leverage in our Engineered Components businesses and enhancing our auto tech capabilities in software, artificial intelligence, machine learning and systems engineering. The consistent execution of our strategy, even in the face of today’s unprecedented challenges is a major differentiator for Aptiv and an important lever for shareholder value generation going forward. Turning to the next slide and the outlook for vehicle production in the second half, while operations have resumed, customer schedules remain very fluid. We have tightened our outlook for vehicle production this year to a decline of approximately 25%, assuming a slow ramp-up and vehicle production declines in every region in the second half. Starting with North America. In the second quarter, we safely returned 55,000 employees, representing 85% of our labor force with minimal incidence of infections since reopening. That’s a testament to the outstanding job our team has done, putting the right measures in place to safely restart operations and safeguard employees. However, threat of plant closures and potential customer supply chain disruptions is something we continue to watch closely, as new hotspots arise across the US and Mexico. In Europe, we saw similar progress. Recovery has been more gradual as stimulus initiatives have helped stabilize demand and accelerate the penetration of electrified vehicles. And while China production levels have increased, inventories remain elevated and customers are adjusting schedules accordingly. The second half outlook is highly variable as the impact on near-term consumer demand and the risk of additional COVID related disruptions is reflected in the third and fourth quarter schedules we are seeing from our customers. As a result, we expect 2020 vehicle production to be around 70 million units globally. And if we had to snap the chalk line today, we would expect modest end market growth in 2021, effectively adjusting for the shutdowns in the first half of 2020 taking global vehicle production to approximately 77 million to 78 million units in 2021. However, despite the near-term end market weakness, the long-term secular growth drivers remain intact. While growth over market can be choppy on a quarterly basis, we expect full year outgrowth in 2020 in the range of six to eight points, as previously communicated. In summary, our ability to optimize how we operate in a weak macro environment will allow us to continue to outperform in 2020 and beyond. Turning to slide 16. Beginning in Q1, as we saw the impact of COVID-19 shutdowns on our operations, we took decisive actions to enhance our financial flexibility. The austerity measures we implemented in the first quarter, which totaled over $600 million in annualized cash savings, helped preserve our liquidity and enhance our financial health during the unprecedented volume declines in the first half of the year. In June, our $2.3 billion equity offering helped to reinforce our financial flexibility against any further business disruptions during the recovery, while allowing us to continue to invest for growth and take advantage of additional organic and inorganic investment opportunities, and we subsequently paid down our revolver in full. As a result, we ended the quarter with $1.9 billion in cash on hand and $4.1 billion of total liquidity. This, coupled with the actions we have taken in the last few years to strengthen our capital structure has allowed us to keep a well-laddered debt maturity profile and extend the weighted average tenor on our debt. In summary, the proactive steps we have taken to protect our employees, deliver for our customers, reduce expenses, conserve capital and preserve optionality has put us on an even stronger footing as we emerge from the current prices. With that, I’d like to hand the call back to Kevin for his closing remarks.
Kevin Clark: Thank you, Joe. Let me wrap up on slide 17 before opening it up for Q&A. As I mentioned earlier, the second quarter proved very challenging as the industry met unprecedented declines in vehicle production in both North America and in Europe. With the successful research of operations, we believe our robust business model and the solid execution of our strategy have validated our through-cycle resiliency and have differentiated Aptiv, such that even in the most difficult of times, we’re capable of capitalizing on the safe, green and connected megatrends that are driving increased vehicle content and translating that capability into market share gains. While the near-term outlook for underlying market trends and overall end market demand for new vehicles remains uncertain, the actions we’ve taken to enhance our financial flexibility during the crisis will drive continued financial outperformance. We’re confident that our disciplined approach to capital allocation will lead to additional value creation opportunities for Aptiv and drive increased shareholder returns. Our confidence in our ability to deliver sustainable value creation is underpinned by the dedication and commitment of our people, which is our greatest asset. I’d like to reiterate how proud I am of our 160,000 team members, who through all the recent challenges has made significant personal sacrifices, while continuing to think and act like owners so that Aptiv could operate safely and deliver for our customers and for our shareholders. Looking ahead, we’re confident we will emerge from this crisis more unified in our mission in a stronger competitive position and financially even more resilient. With that, let’s open up the line for Q&A.
Operator: Thank you. [Operator Instructions] We’ll take our first question from Dan Galves with Wolf Research.
Dan Galves: Hi. Good morning, everybody.
Kevin Clark: Morning.
Dan Galves: Can you talk a little bit about the austerity measures and the COVID cost, I think, about net $100 million savings in Q2? How much of that is sustained into the second half? And if you could give us any sense of what we should be modeling in terms of incremental margins on the revenue recovery from the second quarter?
Joe Massaro: Yeah, Dan. Its Joe. You’re right. It’s about net $100. So COVID was about, call it round numbers, a little more than 30 in the quarter. And that’s the direct costs. So the cost of PPE and the like, I think it’s fair to assume, those continue for a period of time in theory, as we brought back more employees. We’re currently roughly at 85%. That would go up. That’s obviously variable. There’s an element of that that's variable to the employee number. The austerity measures, Q2 was a fairly significant effort from an austerity perspective, that $135 million with a lot of people out on furlough and TLO obviously, that’s harder to sustain or not sustainable once you get up to 85% production. So those costs have started coming back into the - back into the business. The way I would think about decrementals at this point, I’d expect, the back half of the year to look more like Q1, maybe a little more favorable to Q1, because Q1 had a couple of points in there as related to the China shutdown. But I’d be thinking more of sort of a Q1 decremental than a Q2, maybe a couple of points better, if we don’t experience shutdowns.
Dan Galves: Okay. Great. And just longer term, we are seeing EV and plug-in hybrid adoption ramp-up in 2020. How does that make you feel about your high-voltage targets going out a couple of years?
Kevin Clark: Yeah, Dan, I’ll make a comment on that. Listen, we feel like we’re extremely well-positioned from a portfolio standpoint. Principally in that SPS segment to benefit from the drive towards more high voltage, whether it be battery electric vehicle or plug-in hybrid. And when you look at, at least industry projections as it relates to high-voltage electrification out to 2025 to roughly, let’s call it 25% of vehicle production and well beyond that in 2030. We feel as though we’re extremely well-positioned, both based on the strength of our existing high-voltage product portfolio, as well as our competitive position in the low voltage market, quite frankly, right. We’re on roughly one of every three to four vehicles globally. So we’re dealing with those customers, those traditional OEMs today. And have significant opportunities with the emerging OEMs in the future.
Operator: And we’ll take our next question from Joseph Spak with RBC Capital Markets.
Joseph Spak: Thanks. Good morning, everyone.
Kevin Clark: Good morning.
Joe Massaro: Hey, Joe.
Joseph Spak: Maybe just a follow-up on the austerity measures, as you, sort of, evaluate how you do business, and Kevin, you gave a whole bunch of examples like is - do you see an opportunity overtime for some of those to stick or is there an opportunity for you to maybe take additional action to make some of those temporary costs more permanent as you, sort of, re-evaluate what the global environment looks like over the next couple of years?
Kevin Clark: Yeah, maybe I’ll start, Joe, and then Joe can certainly chime in. I think we should start with over the last several years, as you all know, we’ve been very focused on optimizing our cost structure. So over the past three of four years, we’ve taken out $350 million to $400 million of overhead costs out of our cost structure. So in reality, as you look at how we’ve operated historically, there wasn’t a whole lot of extra cost left to reduce. Having said that, given the lower volume outlook for the current year and as we look at 2021 relative to our perspective a year or so ago, there’s opportunity from a footprint and resourcing standpoint. Obviously, we’re evaluating our overall manufacturing and engineering footprint. How we operate it. So there is some opportunity there. Having said that, at least for the foreseeable future there’s going to be incremental costs related to keeping our employees safe and operating with the safety protocols. So there’s - again, there's some opportunity to operate more efficiently. I’m not sure we would tell you that we learned anything new going through this process. I would say, we recognize that vehicle production is going to be operating at a lower level. Therefore, there are actions we need to take to reduce our overall cost structure. Joe, is there anything…
Joe Massaro: I think that's well said, Joe, the only thing I’d add is, is I think the discipline and I’ll, sort of, call the muscle within the organization to manage costs, that –that’s the same discipline of muscle we used to take the 350. It’s the same discipline we use to manage Q2 and the austerity measures, and we’ll obviously continue to apply that to a lower volume scenario. They won’t necessarily be the same cost, but I’m confident the organization is very good on executing at these types of things I think as Q2 shows.
Kevin Clark: Yes. I think the put - the comment Joe made about how well we operated in the second quarter, just to put it in perspective and provide you with a little bit more context. Through Q2, roughly 95% of our salaried workforce was working from home and when you look at it on average - on average, roughly 64% of our global hourly workforce was on TLO. So in periods of time where that was well north of 80%. And so the ability to ramp down production and then ramp back up production to be operating, as we talked about, at roughly 85% of manufacturing normalized capacity, to do that manage the supply chain and have zero customer interruptions is really a testament to how strong the team managed and operated during the quarter.
Joseph Spak: Yes. Very impressive. Kevin, maybe just one more. During the quarter, I guess, really in the past month or so, we saw another high-profile automaker, make a big announcement about domain compute and new architecture. And it seems like most of the luxury players are now there and recognizing that is the future. It's clearly something you've talked about in the past. Are those conversations now starting to migrate down to some of the mass volume brands? Is cost still an issue and how scalable is it? Do you really think from sort of the high end to the low end and how do you see that market evolving?
Kevin Clark: Yes. No. I think, Joe, to your point, there's a lot of momentum is really recognition that vehicle architecture needs to be reevaluated and the approach to how vehicles are architected and engineered needs to be changed. I guess, as we've communicated before, we're in discussions with, I don't know, 10 to 12 OEMs regarding smart vehicle architecture, our initiative programs they're working. You're right, there's more - or has been more momentum as it relates to the luxury OEMs, more – there are historically been more momentum with the luxury OEMs, I think more recently you are seeing more momentum with those who also operate in the mass market. We feel as though we have the solution that scales from what we can consider more traditional mass market vehicles up to the luxury segment. As we've disclosed previously, we have two advanced development programs or two programs, two advanced development programs with OEMs. There are actually three total programs that we believe learning’s from our perspective and from the OEM perspective. You'll see more adoption of the SVA approach across a broader mix of OEMs. And quite frankly, it's that whole - it's that trend of domain centralization that you're seeing in ADAS, that you're seeing in integrated cockpit controllers that you're really seeing across the entire vehicle. And our second generation ADAS solution, you'll see a significant step function move forward as it relates to how that system is architected, extraction of software from hardware and scalability of the system. So a lot of momentum.
Operator: We'll take our next question from Brian Johnson with Barclays.
Brian Johnson: Thank you. Just drill into some of the drivers over growth in market, in particular, the interplay between new product launches and then mix impacts. So should we kind of think forward, first of all, the 10% growth over market in this quarter, then kind of roll forward to the 80-ish percent for the next couple of years. A few questions. Kind of one, to the extent that OEMs defer programs, how does that factor in? Second, if the programs when they launched are smaller than when you put together your revenue forecast how much of a headwind could that be? And then slide under the more positive side, what is the impact of the option mix and take rates on your organic growth number? And are you seeing any evidence, certainly, when we talk to other suppliers, we'll hear things like big screens ADAS penetrating into all, but the most stripped-down version of mass market cars. So is that a tailwind?
Joe Massaro: Yes, Brian, it's Joe. Maybe I'll start and then Kevin can jump in. So to start with the caveat and we've talked about this historically, but also a lot during the last couple of months, just given the shutdowns and restarts growth over markets going to lumpy over the next few quarters as production just comes up and what gets produced. With that said, I mean, we're still very confident in that long-term 6% to 8% growth based on everything we've seen. So when you think about - when you think about the quarter, things that drove some of the upside, obviously, in North America, there was a tendency to re-launch some of the higher content to trucks and SUVs first. So on relative to sort of restart production that was a favorable mix for us. I'd expect that to normalize out. We'll still have great content on those platforms. But as other platforms come back online in larger numbers, you could see that. Europe, very consistent with Q1. It was strength in active safety and electrification, high-voltage electrification. China was helped this quarter by some launch activity. So we saw a strong launch activity that we think will flatten out the back half of the year. We'll also have a comp, with some strong launch activities to the back of last year in China. So you’ll start to see that flatten out. Again, a little - again, a bit for the - just for that back half, and it's transactional. It's nothing long-term. As it relates to lower vehicle production, to date, we got asked this question a lot over the past two years. Really haven't seen the elasticity between our outgrowth and vehicle production. And by that, I mean a shrinking or a closing of the gap, right? We've really been able to stay within the forecasted range and in some cases to a little bit better. At this point, we have no reason to believe that changes. We think will hold up well even with lower vehicle production. Obviously, customer delays or launches -- launches at lower volumes can sort of certainly impact the total revenue dollars. But again, really haven't seen that type of elasticity. And I think we would agree and Kevin can jump in. We would agree with the comment around sort of the democratization of active safety and some of those technologies being looking to push some of those technologies down to lower models. Kevin?
Kevin Clark: Yeah. No, I'd just add a couple of things. I think, Brian, to the extent we haven't seen anything, but to the extent we've heard discussion in and around delays as it relates to active safety, that would be in the Level 3 category. And the reality is those revenues are kind of 2025 and beyond. Active safety as a product helps OEMs sell. And then you have the added benefit of the tailwind of NCAP standards in Europe. And as you know, the AEB commitment here in North America, driving more demand for active safety, and it's something consumers want. As it relates to high-voltage, when you look at the cost pressure that the industry -- the incremental cost pressure that the industry is under if anything, we've seen a more -- a stronger commitment towards high-voltage and likely stronger demand from OEM customers as well as the consumers as they tend to increase the focus on costs coming down, battery costs coming down as well as performance vehicle going up. And then third, as it relates to vehicle connectivity, the industry, as you know, spending $50 billion a year on warranty costs, and one of the big solutions is OTA and vehicle connectivity. And with vehicle connectivity, those costs can be reduced significantly. So, that certainly is an area that we've seen a lot of traction over the last few quarters from an OEM standpoint, and expect that to continue.
Brian Johnson: And sort of a housekeeping, but also a strategic just follow-up. Anything in the quarter for the outlook outside of -- like vehicle and commercial production. So I guess a couple of things. One, how did your non-vehicle markets hold up? And what's the outlook? And then second, do you have anything - a question you're probably getting in conferences approaching what you might call recurring revenue from software either in those industrial or vehicle businesses that maybe also held up differently than global production.
Joe Massaro: Yes, Brian, also it's Joe. I'll start with the recent markets, the non-auto and CV. Again, small numbers, relatively speaking, but has actually held up quite well. As I mentioned in my prepared remarks, a number of those operations were designated essential businesses and remained open and have so therefore, didn't necessarily need to reopen or come back and have maintained themselves pretty well. I think you're – that part of the business, we're looking to – so to be flattish to prior year to down low single digits, depending on the market, depending on the product. So holding up on a relative basis quite well. I think as it relates to the ongoing or sort of the more software like revenue streams, obviously, that's something we're continuing to develop and to work on. There's nothing sort of significant of that nature in the actual results today.
Operator: We'll take our next question from Mark Delaney with Goldman Sachs.
Mark Delaney: Yes. Good morning. Thanks very much for taking the question.
Kevin Clark: Good morning, Mark.
Mark Delaney: I was hoping it better understand your comment, about potential production in 2021 and I think you talked about 77 million to 78 million units as a current planning assumption. Can you provide more context about how Aptiv is coming with that number? Is that primarily based on what your customers are telling you in terms of their forecast or is that more based on Aptiv zone assessments of the market and the third-party estimates and more things? Thank you.
Kevin Clark: It's really - it's a mix of both, right? It is July, right? So there is a fair amount of time between now and the beginning of 2021. But just based on what we're seeing today in front of us based on dialogue with customers based on in, looking at kind of the macro picture in a view that we're going to be dealing with COVID for some period of time, that you're going to have some flare-ups of COVID in North America as well as Europe, that you look at GDP growth and unemployment, as we head into the back half of the year. That a portion of the strength in Q2, and – early Q3 production is about, rebuilding inventory levels that – all that's factored into our outlook, our early outlook for 2021 vehicle production.
Mark Delaney: Okay. That's helpful. And then the company mentioned in the prepared comments that a part of the use of capital from the recent equity raise, could inorganic opportunities, so wanted to better understand how Aptiv’s M&A landscape maybe and what areas Aptiv maybe looking to do inorganic investments? Thank you.
Joe Massaro: Yeah. Mark, it's Joe. I think the - very consistent with where we sort of left off in 2019. So really, bulk of the activity within SPS, always have a sort of a near to the ground for opportunities within ASUX, but they're just given the nature of that space and sort of how we’ve outdistanced ourselves sort of from a product development organically, they're a little bit fewer and far between. So mostly with an SPS, around the Engineered Components businesses, HellermannTyton connection system, bolt-ons, bolt-ons for Winchester, the non-auto interconnect business. As expected, the – we have seen some processes start back up. They tend to be domestic ones and they tend to be smaller ones at this point. Some of that tends to be just around the travel restrictions and getting from here to there. But we do have a couple of processes that it did start back up during the quarter. As I mentioned during the equity raise, we had a number of management presentations that were cancelled in that February, March timeframe. We had expected those to start back up. As you may know, within engineered components, those types of deals, a lot of them tend to be private equity owned. So there's an element of -- they're going to be for sale at some point. I think there are opportunities. Depending on the end markets, to the extent -- to the extent we can get enough information and get enough visibility around price discovery. We see some of those coming back in the back half of the year.
Operator: We'll take our next question from Armintas Sinkevicius with Morgan Stanley.
Armintas Sinkevicius: Great. Good morning. Thank you for taking my question.
Kevin Clark: Good morning.
Armintas Sinkevicius: Just wanted to dive in a bit into the growth over market for signal and power. As we think about it going forward, in New York City, at least, the skies have never been clear for as long as I've lived here. And it's hard to imagine that we go backwards here. So - and then also, there's a proposal in California to accelerate EV adoption amongst Lyft and Uber. Lyft has promised to go electric by 2030. How do you think about, the upside potential here for Signal & Power as we move forward? Have you seen any pickup? Or is it a bit muted just given that we're in a COVID environment and everyone's just trying to get through first before pushing ahead with such initiatives?
Joe Massaro: Day to day, right? I think the industry we think the industry is trying to push really and get back on track. But starting, quite frankly, starting last year - or quite frankly, the last couple of years, incremental focus on high-voltage electrification as a propulsion solution, most of that coming out of Europe and out of Asia Pacific. The one item that maybe COVID has helped accelerate, is the cost pressure associated with developing solutions, Ice solutions as well as electrified solutions. And it appears to be more OEMs seem to be just given capital constraint, more committed on how do we, focus on the development of technology in one area versus two areas. From a cost-effective - from a cost management or capital management standpoint which we believe will ultimately translate into continued acceleration of high-voltage adoption. When you look at what's being talked about, at least as it relates to the election here in the US and the platforms of some of the candidates clearly more support of electrified vehicles whether that's funding of technology or incentives for consumers to buy electrified vehicles. And then we tell you the last tailwind related to high-voltage is, quite frankly, consumer demand. I mean, we did a survey recently. Survey respondents over half said they would entertain buying a high-voltage vehicle and 25% of the respondents said that they would buy a high-voltage or battery electric vehicle as their next vehicle purchase. So as you can imagine, that's quite a switch from three years ago. So our view is high-voltage is a real strong tailwind for our SPS segment. And as Joe has taken you through the numbers in the past, content in a high-voltage vehicle is quite that on a traditional internal combustion engine vehicle. So it's unit and content opportunity.
Armintas Sinkevicius: Okay. And just maybe a follow-up. What would have to happen for S&PS to grow, not mid single-digits, but high single-digits, say, next year? What are some of the pieces that would really have to fall into place or is that a bit of a stretch?
Joe Massaro: Yes. I would say based on everything going in, we're certainly not going to speak to 2021, I meant this at this point. But I -- we're very comfortable with the growth profile we've laid out for S&PS, as Kevin mentioned, there's clearly some upside from the high-voltage business. Our Connection Systems business, whether it's on the auto or on the non-auto side, continues to do quite well as does HellermannTyton. But I think to get to that level, you need to be firing on all cylinders, sort of, all the time, and we certainly never assume that's going to be the case. But very comfortable the growth profile we've laid out that is a great business. It's performing well on the top-line as well as the operating performance. So certainly expect that to continue even in a weaker environment 2021.
Kevin Clark: Yes. I think one of the points that Joe and I have tried to articulate in our prepared comments is, clearly, 2020 is challenged given COVID. Clearly, the industry is improving, but our view is it's a slow-paced recovery that impacts 2021. But as it relates to our technology and how we're positioned and the tailwinds related to the industry and where we sit from a product portfolio standpoint, where we sit from a global footprint standpoint, we're perfectly positioned, and that all comes together, certainly in the out years. And we hope it comes back quite frankly sooner. But when you think about overall vehicle mix, high-voltage Level 2+, Level 3 adoption of things like Aptiv safety, all vehicles having OTA that we can have more vehicle connectivity, that's a couple of years out.
Operator: We'll take our next question from Dan Levy with Credit Suisse.
Dan Levy: Hi.
Kevin Clark: Hi, Dan.
Dan Levy: Good morning. Thank you. Hi. First, just wanted to ask a question on the outgrowth and as it relates to the launch cadence. And I know you mentioned it sounds like there are some delays here, but is it still the case that the launch cadence is still heavily levered to China? And if China is -- and I guess that we all have our own outlook, but if China is the relatively outperforming region globally, why not provide a stronger outgrowth outlook or is it just conservatism?
Kevin Clark: I'd say our launch activity is pretty balanced globally, right? We're launching a number of active safety and high-voltage products in Europe. Obviously, working through the T1XX SUV launch in North America now. So I think it's fairly balanced. It's -- our launch activity pre-COVID was always lumpy, right? You go into these big launches and you ultimately level off on a sequential basis and lap on a year-over-year basis. So that's sort of -- that cadence is continuing. But that's a very consistent story. It's already been in the past and very balanced. Our regions, certainly not quite one-third, one-third, one-third but roughly in that direction. The bookings have been roughly in that direction. And as a result, the launch activity, again, it can change over time as big programs launch in different places, but it's a fairly consistent level of activity, it just sort of cycles through. We've got a lot of launches in China in Q2. We had a lot of launches in the back half of last year in China. So you're going to see some sequential sort of stabilization and a little bit of lapping year-over-year. And again, as we've talked about, that growth over market, while we think it's important as a sort of a full year metric and a guidepost for thinking about the out years, it often doesn't shoot straight in a particular quarter. And given all the disruptions to production over the past five months, it's going back to China shutdowns. It's just -- it's hard to expected to shoot straight every quarter, and I think it will be like that for the next few quarters.
Dan Levy: Okay. Thank you. That's helpful. Just wanted to follow-up with a question about active safety. Just more broadly, the market dynamic here. On one hand, obviously, you've seen a lot of momentum, and you seem to be winning the awards, and it's reflected in the bookings. But if we look at the announcement by Ford a week ago or a couple of weeks ago in which seems to be that they're doing more work directly with Mobileye, Mobileye doing the Sensor Fusion, which is typically something that would have been done by the Tier 1. It seems like the typical relationship where Tier 2 supplies in the Tier 1, Tier 1 packages everything and then give it plug-and-play to the OEM that relationship isn't holding anymore. So maybe you could help us reconcile these two data points. On one hand, you seem to be getting a lot of momentum at the same time, the typical relationship of the Tier 2 to the Tier 1 is shifting a bit. And can you just also comment on your margin trajectory in active safety, if that's still at corporate average?
Kevin Clark: Sure. So it's Kevin. Why don't I - so I don't know all the specifics about the mobile announcement. There's clearly a trend from an industry standpoint to head towards platforms towards scalable platforms. Based on what we're aware of, the relationship between various providers of perception systems really hasn't changed. Sometimes that kind of tracking goes to the Tier 1, sometimes it goes directly to the OEM. I can tell you with respect to the platforms that we're on, we do all the sensor fusion, right. So it's our radar solution. It's our camera. There's a vision solution from a provider. And as you know, we have a great relationship with Mobileye, and they're our vision provider. We do all the sensor fusion in our compute platform we provide the ADAS controller. So from our perspective, in the particular, for example, you're talking about based on what we know, and we feel like we know it pretty well, there's really no change. And you'll see periodic situations where the OEM for probably, quite frankly, for purchasing leverage decides that they want to contract directly with the provider and the Tier 1 continues to do the integration. Some Tier 1s will bring additional capabilities, whether it's feature development, perception system development, do that integration, do that center fusion so that the entire ADAS system operates. And that's clearly how we operate and no change in the model that we're selling to customers and that we're operating under
Joe Massaro: Yes. And Dan, real quickly just the margin question, from our perspective, no longer-term changes in our margin expectations for active safety or the ASUX segment. Clearly, 2020 is a very disruptive here. When you think of the segment being down 129% on EBITDA in the quarter, obviously, that goes all the way down to the product lines, right? That's where those costs are. So, but that high single-digit, low double-digit EBIT profitability we were talking about in prior years and expecting in 2020 the long-term view of that has not changed.
Operator: We'll take our next question from John Murphy with Bank of America.
John Murphy: Good morning, guys. I just wanted to clarify one thing on the 85% cap number you're talking about. Is that a staff number? Was that right at the -- or what exactly does that mean? Was that right at the end of the quarter? And if we think about going forward, the market numbers you're talking about, increasing about 10% next year, it kind of seems like on a staffed capacity basis, you won't need to add a lot of cost back and everything that comes in will be variable purchased raws or processed parts purchases. So that incrementals could be significantly higher going forward. I just want to make sure I understand that what that 85% means that you're referring to?
Joe Massaro: Yes, John, it's Joe. I think it's labor capacity. It's amount of heads we brought back in. I mentioned sort of that 55,000 folks coming back into Mexico. Obviously, there's some -- and we're be very cautious at this point, not going to give 2021 thoughts around incrementals and such, there's a lot of moving pieces. But have those folks back in, obviously, there's some inefficiencies around restart, there's some inefficiencies around operating with COVID and the environment. With that said, I think the restart is going very well, all things considered. Where we need to add costs or take costs out going into 2021 is really going to be dependent on schedules by region and customers by region, right? It's - you can sort of sit there and say, okay, if you're at 85%, you only think you're up 10%. That sounds like it's leverageable. He's going to be a little bit of where that is and on what product lines and with what customers before you can sort of balance that all out. So there's obviously a lot of work to do for us, and we'll work through it over the next four to five months here and working through where those moving pieces are and where they are going to come from.
John Murphy: But I mean, if we're looking at a market that you have down 25% year-over-year and you're having only up 10% next year. I mean, I've got to imagine calling back a lot of a lot of heads above and beyond what you've done at this 85% level is probably not going to be necessary, I know there are pockets in this regions and there will be some ebbs and flows of slight mismatches. But I mean, it seems like you got the people back you need for the most part through the end of next if the market shakes out the way that you're talking about? I know there's puts and takes. But I mean, is that a fair statement?
Joe Massaro: Yes, John, but I think that 85% relates really to kind of late Q2. And if you look at kind of sequential from Q2 to Q3 to Q4, right, you do see some ramp-up of production. So you'll see us bring back some additional employees.
Operator: And we'll take our next question from Chris McNally with Evercore ISI.
Chris McNally: Thanks so much team. One question on margins and then one on second half growth. So on this -- the margins -- and Joe, thanks for the incremental margin comment on second half. But maybe if we can think about it a little bit differently because theoretically production is only down 10%, you have very high content per vehicle growth, the loss revenue could be actually a pretty small number. You talked about inefficiencies. Could you sort of put a dollar amount on the extra cost that is being burdened every quarter, at least in the next two quarters from lower efficiencies? Then that way we can kind of run a more normalized down 20% decremental and then just add a number for that lost productivity?
Joe Massaro: Yes. No, Chris, it's still a little bit of early days for that, right? Again, you've got to remember, we've been up and running for 3.5 weeks to four weeks in the quarter with in June with that type of activity. So it's a little earlier for that. Again, my sense of what we're looking at and certainly what we're working towards or working to do better would be my earlier comment is to be at Q1 with probably a couple of points of improvement, Q1 decrementals with a couple of points of improvement, assuming no shutdowns because we were shut down for a period of time in China during Q1 and that obviously adds to pretty significantly to the decremental. So that's apart from the direct cost. As I mentioned to Dan's question, we're - can see $30 million to $35 million of cost per quarter direct costs and then sort of overcoming that to get back out of that sort of Q1 decremental with maybe a little bit of help from not being shut down. And it's just -- also we're working through all of that, but you need -- you need to run, you need to run consistently, you need some scheduled normalization here to be able to work through that. And that's what we'll do for 2021. And that will obviously again, as I mentioned, we're very confident in our ability to take a look at our cost structure and figure out how to do better. I think you've just seen us do over the last couple of years. And obviously, Q2 is a bit of a testament to that as well. And we just need some time to work through that as we get into 2021.
Chris McNally: Okay. That makes sense. And then the second question is around the outgrowth in second half. You talked about the 6% to 8% corridor being reiterated. I think first half it's something like 12%. So it kind of implies a lower second half. Should we just take that as your normal sort of conservatism? Maybe we don't have the visibility on all the pushouts or is there anything about it's a very tough calculation to do outgrowth given the weighted average. Any just detail around why second half maybe a little bit less strong than first half?
Joe Massaro: Yeah, I think there is some sort of good old-fashioned lapping launches, so sort of the normal and then the other thing, I think, as I've mentioned a couple of times now. You're just going to see as production of various platforms comes back at different times. That's just going to be a very choppy calculation. But from what we're looking at, we've had some strong launch activity back half of last year. We've had some good launch activity. Even in China in Q2 and some of that's going to sort of flatten out and lap is really what's driving it. And that's -- there's some of that that's going to be driven by COVID, but that's also just the way we've historically worked over the past number of years. It's just -- it's not a perfect calculation every quarter.
Operator: And we'll take our last question from Emmanuel Rosner with Deutsche Bank.
Emmanuel Rosner: Yeah, thanks for squeezing me in. Good morning.
Kevin Clark: Good morning.
Emmanuel Rosner: So just a quick follow-up on the second half, I guess, growth over the market. When you did the capital raise, I think one of the goals or opportunities, I guess, was the ability to win away some business from competitors that automakers essentially approach you towards that. Is that the sort of -- can you give us an update maybe on how that's been going? And is that sort of things that could materialize in sort of second half bookings or would that be later?
Kevin Clark: Hi Emmanuel. It’s Kevin. So no, so are we seeing -- does the opportunity remain absolutely. I would say, given the pressure on the supply chain, both just logistically from a capability standpoint as well as cost. OEMs seem to be much more focused on strong global capabilities as well as ability to scale and the opportunity to leverage platforms and so we're in the midst of a number of discussions about those opportunities. But those are not opportunities where the revenue switch gets flipped in a quarter or two, right? It's a year or two years, it's a year would be short -- very, very short term. More normally, it's a couple of years out from a revenue opportunity.
Emmanuel Rosner: Okay. And for the bookings as well?
Kevin Clark: The booking opportunity is near-term. The revenue – I though you are talking about revenue. The revenue opportunity is, in reality, a couple of years out, even if it's an existing program that's under production. Because the reality is activity needs to be transitioned. Manufacturing needs to be transitioned. Supply chain needs to be changed. And obviously, OEMs are very sensitive to any risk of disruption. So that takes some amount of time. But certainly, the bookings opportunities are there. First half bookings, just given COVID-19, when you look at the level of opportunities, at least since I've been around here, probably the lowest that we've seen, the booking opportunity to the extent they don't shift out of the back half of the year are at much higher levels than what they've been previously. I think it's fair to assume, though, just given dealing with COVID that remains in the environment. There's some inefficiencies. So there will be some slight shifting. We've talked about it in the past being anywhere between a couple of months to a quarter, maybe two. But the opportunities there are real.
Emmanuel Rosner: Okay. That's helpful. And then just on the incrementals. I know you haven't commented in much detail, but 2021, yes. I think short conferences during the quarter, you sort of suggest that as sales and volume recover the incrementals could be towards sort of like the just normal level and not higher? Is that still the – is that still the thinking?
Kevin Clark: Yes, Emmanuel, listen, I think the general takeaway from my perspective at least, is the focus on our – keeping our financial framework intact. And I know we've commented on that 20% to 22%. That's historically what we've seen. We do believe we'll see that go forward. And then there's a number of other things that are happening in the world, right, around PPE and shutdowns if COVID comes back and again, I think it’s just very early days to be speculating on those types of things. So I think as you saw with Q2 and hitting that basically breakeven when you think about 35 million of PPE and a negative $49 million EBITDA number. And we've talked for two or three years now about getting our breakeven EBITDA down to a 40% decline in revenue. And I think we're – that was part of our framework we’re effectively there, so we'll work hard to offset what can be offset. But I think that's – I tend to stick to the framework when I think about the business.
Elena Rosman: Well, thank you, everyone, for your participation on today's call. I do want to – now I turn it over to Kevin Clark for his closing remarks.
Kevin Clark: Great. Thank you, everyone. We – I appreciate you attending our call. We hope everyone stays safe, okay? Take care.
Joe Massaro: Thank you.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.